Operator: Thank you for standing by. My name is Rebecca, and I will be your conference operator today. At this time, I would like to welcome everyone to the Cable One First Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] thank you. I will now turn the call over to Jordan Morkert, Vice President, of Investor Relations. Please go ahead
Jordan Morkert: Good afternoon, and welcome to Cable One's first quarter 2025 earnings call. We're glad to have you join us as we review our results. Before we proceed, I would like to remind you that today's discussion contains forward-looking statements relating to future events that involve risks and uncertainties and including statements regarding future broadband revenue, customer growth, connects and churn rates, new product rollouts, customer yields from new build activities, including related costs future cash flow, future ARPU, future levels of competition, capital expenditures, the anticipated impact of our change in dividend policy our ability and sources of capital to fund the retirement of our zero percent convertible notes in 2026, the anticipated after-tax proceeds from the expected monetization of certain investments and our future financial performance, capital allocation policy, leverage ratios and financing plans. You can find factors that could cause Cable One's actual results to differ materially from the forward-looking statements discussed during today's call and today's earnings release and in our SEC filings, including our annual report on Form 10-K. Cable One is under no obligation and expressly disclaims any obligation, except as required by law, to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, today's remarks will include a discussion of certain financial measures that are not presented in conformity with U.S. generally accepted accounting principles or GAAP. When we refer to free cash flow during today's call, we mean adjusted EBITDA less capital expenditures as defined in our earnings release. Reconciliations of non-GAAP financial measures discussed on this call to the most directly comparable GAAP measures can be found in our earnings release or on our website at ir.cableone.net. Joining me on today's call is our President and CEO, Julia Laulis; and Todd Koetje, our CFO. With that, let me turn the call over to Julie.
Julia Laulis : Thank you, Jordan, and good afternoon, everyone. We appreciate you joining us for today's call. Today, I want to unpack the factors, which underline my belief that we will achieve long-term subscriber growth grow residential broadband revenue in 2025 and beyond. As I noted during our year-end call in February, we are executing on a multiyear plan to achieve sustained profitable growth in a rapidly changing and more competitive environment. While our first quarter customer results were not what we wanted, a closer look at how the quarter unfolded along with multiple green shoots of growth now emerging presents a more promising path forward. As I'll detail further, we believe much of the noise of Q1 is behind us. With the right people, platforms and processes in place, we're building a more effective and scalable customer acquisition engine, one that we believe will drive meaningful growth over the long term. We work very hard to listen to our investors. And right now, every discussion focuses on long-term broadband customer growth. So I want to spend most of my time today discussing that topic. Let me start by addressing our first quarter residential broadband customer numbers. The key driver of our customer decline in the first quarter was lower-than-expected connects Driving growth through new Connect has been the focus of our plans, and I'll speak more about the early progress we are seeing in a moment. Our results were further impacted by unusual churn events which are now behind us with churn already reverting to historically low levels and with our plans to steadily improve connect underway, we remain confident in our ability to deliver residential broadband growth over time. One of the key drivers of sustainable growth is the strength of our customer retention, after excluding the unusual events of this quarter, our churn levels remained historically low, and we're taking deliberate action to keep them there. Guided by our promise to keep our customers connected to what matters most, we are proactively enhancing our retention efforts. A great example of this is our homegrown AI-driven churn propensity model which rapidly identifies the customers most at risk of leaving. Once identified, we take targeted action to engage and retain them. The combination of this high-touch plus high-tech approach reflects our broader commitment to providing an effortless yet personalized customer experience with neighborly service that sets us apart. Importantly, we believe we are positioned for stronger performance through the remainder of the year, supported by a return to a more normalized churn profile, our plans to drive higher connects and continued efforts to compete effectively throughout the MSO. I'd like to highlight several encouraging green shoots that we believe contribute to our future growth, particularly through increased connects. To start, I'll share an update on the products we've introduced for value-conscious customers, which we believe will play an important role in our broad growth strategy. First, there's our paid product, which we piloted specifically for the value by choice customer. We have rebranded this product as FlexConnect as it effectively competes with cell phone Internet by providing faster speeds, along with a more reliable connection and unlimited data, all at a great value with ultimate ease of use. Since launching the pilot, we've seen growth in both customer count and ARPU within the cohort as the ability to choose their speed unlike cell phone Internet has led many to upgrade to higher tiers that better fit their needs. We will begin to market FlexConnect aggressively across the MSO and expect that it will be an effective tactic to increase connects. Second, we are now piloting Internet Lift, a product designed to serve the value by need customer. This offering is available to individuals who meet specific eligibility criteria and we're taking a targeted local approach to reach them. Internet Lift represents an incremental broadband revenue opportunity for us. Early pilot results show that Lift is bringing additional customers to us with minimal risk of cannibalizing our existing base. We plan to accelerate our marketing efforts for Lift across targeted portions of the MSO with broader rollout beginning in the weeks ahead. In addition to new products, we're leaning into strategic infrastructure innovations that support long-term growth. One example is how we're reengineering our approach to selecting and executing new builds to acquire customers more efficiently. Moreover, we're beginning to see early signs that this is working stronger early penetration means we now expect the same number of passings to yield more customers within the first two quarters of release. At the end of the day, our ability to grow our customer base comes down to two things: how effectively we retain existing customers, and we're doing that exceedingly well as reflected in our continued low churn rate and how compelling our value proposition is for new customers. While no single product or initiative stands alone as the driver of growth, together, they create a powerful ecosystem of choice including flexibility, reliability and neighborly service for our customers. This not only improves our customers' lives, but it also supports our plan for long-term broadband revenue growth. Of course, none of this happens without the right people, and we have the team and the organizational structure in place to make it happen. I'm incredibly proud of the talent, experience and momentum within our new customer acquisition and retention teams. Their energy, combined with strong collaboration across other functional areas gives us confidence that we are going to see positive results. Turning to ARPU. We saw a slight dip this quarter driven by a variety of small factors, including promotional offers, which have proven track records of strong retention, increased adoption of pays and its associated discount and credit issued to certain customers impacted by third-party fiber cuts. That said, ARPU remains stable and the trends that we see support growth in the coming quarters. These include higher sell-in of our gig and Multi-Gig products, momentum from new product offerings and the number of discounts scheduled to roll off. Taken together, these factors position us well to improve ARPU through the balance of the year. Related to the potential growth of ARPU, I also want to highlight the continued growth of our SecurePlus product, which has seen a 15% increase in customer adoption since the start of 2025. SecurePlus delivers a suite of security-focused features, including remote access to the home network and household wide password management. SecurePlus is available a la carte for $8 a month or as part of our ultimate WiFi bundle, which we introduced last November at $24.99 per month. The bundle is resonating well with customers with 17% of new customers choosing it this quarter, a strong signal that our approach is aligned with the needs of today's connected homes. When you combine these trends with our road map and ongoing executable plan, I remain confident in our ability to grow residential broadband revenue in 2025. Finally, before turning the call over to Todd for a review of our financial performance, I want to touch briefly on our decision to revise our capital allocation strategy, specifically the suspension of our dividend. We remain committed to a balanced approach to capital allocation. And after careful consideration, we have decided to suspend our quarterly cash dividend in order to accelerate our debt reduction strategy and invest in organic growth initiatives. As Todd will cover in his remarks, we believe this change will bolster our financial strength and enhance our ability to proactively access the capital markets on favorable terms. With confidence in our strategy, the strength of our team and the plans we're putting into action, we are well positioned to execute on our goals through the remainder of the year. We remain focused on our long-term objectives of residential broadband customer and revenue growth while maintaining the financial discipline necessary to sustain strong free cash flow generation. And now Todd who will provide a recap of our first quarter financial performance.
Todd Koetje : Thanks, Julie. Beginning with the top line. For the first quarter of 2025, our total revenues to $380.6 million compared to $404.3 million in the first quarter of 2024. Residential data revenues decreased $10.7 million or 4.5% year-over-year. During the first quarter, residential data subscribers and ARPU both decreased by 1.1%. However, as Julie noted, we continue to have confidence in our execution strategy to deliver residential broadband revenue growth in 2025. The remaining decrease in total revenue was primarily attributable to a decrease in residential video revenues of $9.6 million or 15.8% year-over-year, driven by losses in video subscribers as we continue to navigate the final phases of our video product life cycle. On the business services side, for the first quarter of 2025 business data revenues grew by 1.2% compared to Q1 of 2024. As we mentioned earlier this year, our carrier and enterprise fiber businesses remained strong, delivering consistent results with an average contract term of about five years. Carrier sales recently reached their highest monthly levels since 2022, and we secured several new multimillion dollar long-term contracts that not only add recurring revenue, but also expand our network reach into new commercial areas, setting the stage for future growth. Operating expenses were now $99.9 million or 26.2% of revenues in the first quarter of 2025 compared to $106.5 million or 26.3% of revenues in the prior year quarter, with the decrease driven largely by a reduction in programming and labor costs. Selling, general and administrative expenses were $95.4 million for the first quarter of 2025 compared to $90.4 million in the prior year quarter. SG&A as a percentage of revenue was 25.1% for Q1 of 2025 compared to 22.4% for Q1 of 2024 and with the increase driven largely by non-cash stock-based compensation, billing system implementation costs and insurance-related costs, partially offset by a reduction in payroll costs and improved bad debt expense. Net income was $2.6 million for the first quarter of 2025 compared to $37.4 million in the first quarter of 2024 driven by lower income from operations and an increased noncash equity method accounting loss in Q1 of 2025. Adjusted EBITDA was $203 million in Q1 of 2025, representing a 53.3% margin compared to $217 million, a 53.7% margin in Q1 of 2024. Capital expenditures of $71.1 million in Q1 were $5.2 million or 8% higher than in Q1 of last year. During the quarter, we invested $7.1 million of CapEx for new market expansion projects and $3.9 million for integration activities. We expect the impact of any tariffs to be manageable and we are well positioned to carry out our previously outlined plan for total CapEx in the low 300s for the full year. Adjusted EBITDA less capital expenditures was $131.6 million in the first quarter of 2025 or 65% as a percentage of adjusted EBITDA. We will continuously assess the optimal allocation of the significant cash flow generated by our business, maintaining a commitment to long-term growth initiatives in a highly disciplined, conservative balance sheet management strategy. As Julie said, after careful and extensive consideration, we have decided to suspend our quarterly cash dividend on our common shares. This represents approximately $67 million annually and over $200 million of discretionary free cash flow over the next three years that we will be able to allocate towards accelerated debt repayment, refinancing support and ongoing investment in organic growth initiatives. While our near-term priorities will be centered around fortifying our balance sheet and investing in long-term growth. We will also remain balanced with our return of capital to shareholders and will opportunistically evaluate future share repurchases under our remaining $143 million authorization, subject to achieving lower leverage levels. We repaid nearly $45 million of debt in the quarter, including $40 million of early debt repayment, along with an additional $10 million subsequent to the quarter close. Since Q2 of 2023 through today, excluding borrowing associated with our recently renegotiated MBI partnership agreement, our total debt repayment has exceeded $450 million. As of March 31, we had approximately $149 million of cash and cash equivalents on hand and our debt balance was approximately $3.6 billion, consisting of approximately $1.7 billion in term loans $90 million in convertible notes, $650 million in unsecured notes, $273 million of revolver borrowings and $3 million of finance lease liabilities. We also had $977 million available for additional borrowings under our $1.25 billion committed revolving credit facility as of March 31. Our weighted average cost of debt for the first quarter of 2025 was 3.9%, and our net leverage ratio on a last quarter annualized basis was just north of 4 times. As we continue our accelerated debt repayment and invest in EBITDA growth initiatives, we remain confident this ratio will decline expectations that our leverage will remain below 4 times pro forma for the potential MBI consolidation in late 2026. A large majority of our borrowings are either fixed tens or have been synthetically fixed at underlying base rates that are approximately half of the prevailing floating rates. The nearest final maturity for any of our debt instruments are $575 million of zero percent convertible notes does not occur until 2026. Given the available capacity under our revolving credit agreement and our free cash flow generation, we would be well prepared to retire those instruments without accessing the capital markets for additional incremental capital. However, as we previously stated, we remain ready and opportunistic in evaluating attractive windows in the capital markets. Turning to our investment partnerships. We posted updated information about our unconsolidated investments on our Investor Relations website. For the fourth quarter of 2024, the annualized adjusted EBITDA of select companies was approximately $682 million up 10% from the prior year. These companies also grew broadband subscribers by 11% and added over 240,000 new fiber passings during the year. That momentum carried into the first quarter with residential and business data customers increasing by approximately 16,000 or 1.8% sequentially. These figures exclude Metronet where our ownership stake is smaller. The pending monetization of our Ziply and Metronet investment in the coming months, along with our monetization of CTI towers in the first quarter are expected to generate well over $100 million of combined after-tax proceeds with each investment providing a solid return. We believe these outcomes, both the strong operating execution and the successful monetization of our investments reflect the strength of the businesses we partnered with and the opportunities we continue to see ahead. Before we open it up for questions, I want to reiterate our confidence in the strategy we're executing to drive long-term sustainable broadband revenue growth and durable cash flow growth. As we allow the appropriate amount of time for our new and ongoing investments in people, operational platforms and go-to-market playbooks to come together, we believe we have the foundational elements in place to return to delivering the differentiated results that have defined Cable One's reputation throughout our history. With that, we are now ready for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Frank Louthan with Raymond James.
Frank Louthan : Great. Thank you. So you have fallen into the trap that I've seen other companies that I've covered fall into where bankers or someone have talking to eliminating the dividend entirely. So I would be interested to know what led you to that decision? And specifically, are there any kind of going concern issues or debt covenants or some other issue that we're aware of in the business environment that would require you to cut the dividend? And does this have anything to do with the short-term debt jumping out $575 million in the quarter?
Todd Koetje : Hey, Frank, it's Todd. Appreciate the question. I'll reassure you and our stakeholder audience has nothing to do with any going concern for debt covenant concerns. The capital allocation strategies that we've been extensively revisiting not just in the quarter but active discussions, active listening to many of our stakeholders was what drove us to that decision. This allows us, as we said in our prepared remarks to accelerate our debt repayment. In addition to what we generated leverage free cash flow in excess of $300 million annually in the next really two years in advance of the potential MBI transaction, another $120 million of that will be allocated towards debt repayment. Therefore, reiterating our view and our comfort that we'll be below 4x as we've stated previously.
Frank Louthan : Was eliminating the dividend part of the way you were confident you were going to get there before? Or is this new? And then as a follow-up, you mentioned about getting back to broadband subscriber growth. Can you articulate when you think you'll be able to cross that line?
Todd Koetje : I'll address the first, and I'll let Julie jump in. But no, I said last quarter, we are confident in that less than 4 times without a decision being effectively made on that dividend suspension. So that would not be a corollary to that. It just further reemphasizes that point.
Julia Laulis : And on broadband growth, whether we segment out, are we talking about broadband revenue or broadband subscriber growth or customer growth. We believe we can do both, quite honestly. And we've been working on the setup of that for some time. And it started with a team that was professional and experienced in a more competitive environment as well as the platforms that would allow us to track and be much more measured and strategic about the actions that we took. And so for the first quarter to start out what I would call slowish, it's not a surprise to me because all those things were still being put into place. And even with that, we did see -- our biggest focus area has been connect because our churn is just so amazingly low. So working on Connect. And we did see Connect improve month over month and still feel good about that trajectory. And that is not the way that it occurred last year. So that is something that we're bending the curve on. And as before, we put our comprehensive plan into place. So I'm not going to pick a month or a week where I'm going to say you're going to see broadband customer growth, but I will say in '25 that, that is what I believe we are going to deliver. And we absolutely will deliver revenue growth or broadband revenue growth in '25. I'm happy to talk about why I think that's the case, but --
Frank Louthan : Sure. Glad to hear that.
Operator: Your next question comes from the line of Sebastiano Petti with JPMorgan.
Sebastiano Petti : Hi, thank you for taking the question. Could you unpack what the onetime unusual churn event was in the quarter? Just kind of -- just one quick other follow-up there, but as we look out to the fourth quarter as well, right, there were some one-off activities or one-off events that were not necessarily supposed to be looked upon as a quote on run rate for the 2025 here we are. And so just what underlies your confidence just kind of piggybacking on Frank's question, what underlies the confidence in returning to broadband revenue growth for the year? As you think about the starting point with subscriber -- the subscriber decline as well as the ARPU decline in the quarter. Just if you could unpack the confidence there, particularly given the competitive backdrop. Thank you.
Julia Laulis : Yeah. So the one-term events, the unique headwinds that we referred to at year-end were primarily around ACP -- the sunset of ACP. We did also have a change in key team members that we referenced as well. So that would be the events from the fourth quarter of '24. In the first quarter of '25, it's not one thing. It's a bunch of little things that if we took those out of the equation, our churn is little regardless, but if we took those out, it would be historically low. And that was some heightened churn associated with our billing migration activities, the shutdown of unprofitable fixed wireless towers and the customers that were on them that we gained from an earlier acquisition and some weather-related events, tornadoes and storms. So I would call those unusual and generally nonrecurring types of events. And again, our churn is incredibly low. It's historically low if we remove those items, and that's with us being in the current competitive environment that you referenced. Our team is just so fanatical about measuring and getting the data from our experiments so that we can make smart decisions. And just one example related to churn, we've been tracking acquisition cohorts connect words from the first quarter specifically, when we look at it over all time, but since we're measuring first quarter. Since 2021 to current, and each year, our retention has gone up, and we are now 300 bps higher than we were in '21. So that's just an indication of the work that's done around churn and how these small things, unusual things occurred in the first quarter. Let's see what else did you ask? Confidence. So again, the way I actually say it to the team is, hey, we haven't even shot our big cans yet. Like where it's basically water guns and we're getting ready to bring out the canons because we wanted to put together a plan that was incredibly disciplined and strategic and comprehensive, not just bits and parts and tactics. And so we have been spending a lot of time, immense amount of work going on by the teams, what advertising messages will resonate. What does the research say about how our customers want to be approached? How do we interrupt share flow to our channels? Because we know when customers come to us, they stay with us? So again, given that connects and net improved month-over-month for the entire quarter and knowing that the plan for the future, starting imminently is to roll out products that we've trialed and we have data. So now we can forecast what to expect from those products, things like FlexConnect, which will go head-to-head against cell phone Internet. And there's just so much data that we have learned from our trials, what people appreciate about it. the demos that are being attracted by it, the data usage of that group, it may even lead to other use cases like wireless substitution win back for example, or products like Lift, which are completely incremental to us, where we're going after the value by need customers. So we're not only helping out our levers, but we're getting incremental revenue and again, by trialing it, we have the confidence to understand that it won't cannibalize current customers. Tracking campaigns, for example, we did a campaign -- an acquisition campaign late in '24, and it resulted in a 13% Lift and that's fantastic, but it had a discount. So we've been tracking it over time. And we're retaining in the mid-90s, and that is post discount roll off. So that is a super successful campaign. Now that we know that we know that we're not -- we're threading the needle between lift and ARPU and customer satisfaction, we can replicate that over and over again. We are getting so much more sophisticated now that we have these best-in-class platforms in place. And so we are revamping, for example, our new build process. And so far, that's yielding about 2% higher penetration within two months of completion at a lower cost of capital. I think about ancillary products that customers are approving by their purchasing decisions that they want and need these things, and there is price elasticity there because of that need because of that value. So things like SecurePlus or Ultimate WiFi. And those are just things that we're doing now, not things that are on the drawing board. Those were just some of the reasons why I have confidence. I have confidence to that, because I know what we're getting ready to do.
Sebastiano Petti: Thank you.
Operator: Your last question comes from the line of Brandon Nispel with KeyBanc Capital Markets.
Brandon Nispel : Hey, guys. thanks for taking questions. I was hoping maybe you could help us in some of your trials with FlexConnect and Lift, Help us understand what intake ARPU looks like for those products. And then hoping you could provide an update on what percentage of your footprint is now overbuilt with fiber and the percentage of your footprint you think you're competing with fixed wireless in. Thanks.
Julia Laulis : So FlexConnect is really pretty interesting. Because again, it's going up against cell phone, Internet, we call it a value by choice. In other words, people are choosing to have a value-type product, but they're not in the same demo as the Lift folks who have a strong need because of their income levels. FlexConnect offers customers really a super easy way to onboard and service themselves very similar to what cell phone Internet is like. However, it has a choice of speeds. Now I can't necessarily tell you what the ARPU is in that group because the speed and price -- the speeds and prices that we're going to aggressively market are changing in our mass rollout versus our trial because we learned some things in the trial. But there are two levels, a $45 level and a $75 level. And I can tell you that a portion not half, but a portion of the customers are electing to get the higher speed tier. And again, what we're learning about the people that are choosing that and their happiness with their satisfaction with the product and their data usage is really interesting. And wait for the advertising. I'll just tease you with that. I think it's pretty punchy. Let me put it that way. Lift, likewise, its trial is nearing its end and we're getting ready to market that as well. And there's a very discrete TAM for Lift, right? So these are folks that have to be eligible in order to get this product. And so we'll be marketing very discretely to that group. It will represent incremental revenue and actually find a place for folks who are most likely ACP customers in the past to find their home back with Sparklight again. Footprint for fiber, about half and half
Todd Koetje : Yeah. Well, it's a little over 50%, Brandon, very consistent with what we talked about last quarter. It hasn't moved meaningfully. And then with a broadband offering from a mobile operator, that's in nearly all of our markets as we also said last quarter that hasn't changed meaningfully, either and really can because it's pretty widely available.
Julia Laulis : And tracks.
Todd Koetje : Yeah. If anything from a spectrum capacity constraint, it will contract over time. But right now, that is the case. And that's, as Julie said, [Indiscernible] Connect challenge, which is why we've been piloting and now executing on some of these new initiatives that will go head to head.
Brandon Nispel : Thanks for all the color.
Operator: I will now turn the call back over to Julie for closing remarks.
Julia Laulis : Thank you, Rebecca. As we wrap up today's call, I want to thank our associates again for their continuing hard work and dedication to our customers and one another. This has been a challenging time for our company and our industry, but our people continue to believe in our mission to connect people to what matters most. Indeed, high-speed data remains one of the most important products in rural America, where it is a lifeline for people to work learn and receive medical care. While today's discussion centered on topics that our shareholders and investors frequently ask about, it's important to remember that it's our associates to provide an invaluable service to our customers. So to each of our associates, please accept my thanks for all that you do. Thanks, everyone, and speak to you again next quarter.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.